Operator: Good day, everyone, and welcome to the Dow Chemical Company's Second Quarter 2011 Earnings Results Conference Call. [Operator Instructions] One other note, today's call is being recorded. And at this time, I would like to turn the call over to Doug May. Please go ahead, sir.
Doug May: Thank you, Kim. It's great to be back with many of you again this week. As usual, we are making this call available to investors and the media via webcast. This call is the property of the Dow Chemical Company. Any redistribution, retransmission or rebroadcast of this call in any form without Dow's expressed written consent is strictly prohibited. On the call with me today are Andrew Liveris, Dow's Chairman and Chief Executive Officer; Bill Weideman, Executive Vice President and Chief Financial Officer; and David Johnson, Director Investor Relations. Around 6:30 this morning, July 27, our earnings release went out on Business Wire and was posted on the Internet on dow.com. We have prepared slides to supplement our comments in this conference call. These slides are posted on our website on the Presentations page of the Investor Relations section and through the link to our webcast. As you know, some of our comments today may include statements about our expectations for the future. Those expectations involve risks and uncertainties. We can't guarantee the accuracy of any forecasts or estimates, and we don't plan to update any forward-looking statements during the quarter. If you'd like more information on the risks involved in forward-looking statements, please see our SEC filings. In addition, some of our comments reference non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measure and other associated disclosures are contained in our earnings release and on our website. Unless otherwise specified, all comparisons presented today will be on a year-over-year basis. Sales, volume and price comparisons exclude recent divestitures, and EBITDA, EBITDA margins and earnings comparisons exclude certain items. Our earnings release, as well as recent SEC filings are available on the Internet at dow.com. The agenda for today's call is on Slide 3. I'll now hand the call over to Andrew.
Andrew Liveris: Thank you, Doug. Good morning, everyone, and thank you for joining us. On Slide 4, you'll see that this quarter once again exemplified our steadfast commitment to a strategy that delivers consistent and predictable value growth, and I believe our results speak for themselves. We showed once again that we are firmly on our earnings trajectory and undeniable growth path. We achieved robust growth in earnings per share, an impressive increase in EBITDA, up 25%, and we expanded margins for the ninth consecutive quarter. This tremendous performance was driven by strong sales growth, up 28% with demand capture and share gains across all geographic areas and virtually, all operating segments. Notably, our focus on price and volume management in the quarter more than offset the significant rise in purchased feedstock and energy costs. And while our headline this quarter is remarkable top and bottom line growth, this was also a quarter of many firsts. Our EBITDA reached a record for the first 6 months of the year, and we are well on our way to our near-term target of $10 billion. Sales in Asia Pacific reached a new level in the quarter, and the same was true in the total of all emerging geographies. Equity earnings of nearly $300 million contributed to our record first half, demonstrating the power of our joint venture strategy. Furthermore, our higher-margin downstream businesses delivered outstanding results. Health and Agriculture set a new sales record for the first half of the year and grew EBITDA more than 40% in the quarter. Electronic and Specialty Materials and Performance Systems both achieved quarterly EBITDA records. Our Water business set records in sales and in EBITDA, and our Plastics segment delivered its eighth consecutive quarter of EBITDA margin of more than 20%. As most of you know, this segment has undergone significant transformation over the last several years, shifting a commodity focus to that of a performance technology differentiated portfolio. This transformation takes a significant step forward again today. As we are announcing on this call that we've signed a definitive agreement to sell Dow's global polypropylene business for $340 million at an attractive multiple of 6.7x EBITDA. This sale to a strategic buyer has allowed us to achieve what we consider to be an excellent value for the sale of this business. Proceeds will be directed to our main priorities: debt reduction, remunerating shareholders and funding growth. Details about the buyer will be shared shortly. This divestment is yet another strong example of our disciplined and ongoing approach to portfolio management and allows us to further accelerate the transformation of our performance plastics franchise and has renewed and reshaped focus on downstream market-driven solutions. By doing this, we are dampening volatility and putting our propylene into higher-value end uses. And the bottom line is that our formula for success is straightforward, the right strategy and a diligent focus on putting it into action. On Slide 5, before I turn the call over to Bill, let me put our year-to-date results into a broader context. There's been a great deal of noise over the last several months regarding the macroeconomic environment and the pace of growth globally. And while there are headwinds in certain sectors, the fact is our transformed and broadly diversified portfolio is now performing on a new level and able to overcome headwinds in any particular sector. We fully anticipate our momentum will continue, and we remain firmly on the path to our near-term goals, those that we first outlined in 2009 and reaffirmed late last year. EBITDA and margin are both expanding at an excellent pace. Our EBITDA run rate, approximately $9 billion, is closing in on our near-term target of $10 billion. And we are tracking well toward our goal of 20% EBITDA margin at the enterprise level. Dow's transformed portfolio is delivering compelling results quarter after quarter, and we're well positioned to continue delivering on our growth path. I'll have more to say about that later in the call. Now let me turn it over to Bill for more detail on our financial and operating results in the quarter.
William Weideman: Thank you, Andrew. Turning to Slide 6. I'd like to remind you that my comments will be on a year-over-year basis. Sales, volume and price comparison will exclude divestitures, and EBITDA including margins and earnings comparisons will exclude certain items unless otherwise noted. Here, you see the quarter sales driven by volume growth of 9% and price gains of 19%. We delivered over $2.3 billion in EBITDA and earnings per share of $0.85, excluding a $0.01 certain item related to our continued proactive retirement of debt. These results compared to earnings of $0.54 in the same quarter last year, excluding certain items. Now let me turn to volume and price trends. On Slide 7, we saw demand growth in every geographic area and across most operating segments with particular strength in Health and Ag, Performance Products and Plastics. From a geographic perspective, Latin America and Asia Pacific led growth. And volume expansion in emerging geographies was also strong, up 14%. Moving to price on Slide 8. As you can see, price was up across all operating segments led by Performance Products, Plastics and Chemicals and Energy, each up 20% or more. And gains were double digits across all geographies with EMEA up the most. Our price discipline also more than offset a $1.5 billion increase in purchased feedstock energy costs. Now turning to our segments, starting with Electronic and Specialty Materials on Slide 9. Sales in this segment grew double digits, driven by 6% volume growth and price gains of 7%. Demand growth in Electronic Materials business was led by strong gains in Display and Growth Technologies. While Specialty Materials reported a solid year-over-year sales increase with double-digit gains in all geographic areas. Dow Water & Process Solutions achieved both top and bottom line record. Ion exchange and reverse osmosis membranes delivered notable demand growth. Turning to Coatings and Infrastructure. Sales were up 14%, driven by price increases. Volume was flat, and growth in the emerging world overcome continued softness in the construction and architectural end markets in the developed regions. All businesses in this segment took actions to mitigate the impact of volatile raw materials through disciplined price and volume management. And these delivered double-digit increases led by Dow Coating Materials. Moving to Health and Ag, which had an excellent quarter to round out an impressive first half of the year. This segment grew EBITDA more than 45% and expanded margin nearly 400 basis points year-over-year. All geographic areas reported double-digit sales gains versus the same quarter last year. Ag chem sales growth was driven by increased demand for range and pasture herbicides, as well as a 40% increase in new product sales led by herbicides for rice in Asia and cereal in the U.S. and Canada. The continued shift in North America to SmartStax and a strong growth season in Latin America drove significant volume increases in corn and sales in cotton more than doubled. All of this rolled up to an excellent quarter for Seeds, Traits and Oils. In fact, this business accounted for more than a 40% increase in volume growth in the Health and Ag. Turning to Performance Systems. Sales were up 19% with double-digit price increases achieved in all geographic areas. Notably, this segment delivered EBITDA margin expansion of more than 200 basis points, and EBITDA reached a record for the quarter. Dow Automotive Systems saw demand growth in Latin America in the glass bonding applications. This contributed a margin growth of 370 basis points. In Dow Elastomers, sales growth was up significantly, driven by volume and price gains across all the geographic areas. In particular, sales in Asia Pacific benefited from the successful startup of our special elastomers trade [ph] in our joint venture in Thailand. Sales in Dow Wire and Cable increased 17%. Demand for power transmissions and telecommunication applications in Latin America was particularly robust. In Performance Products, sales were up nearly 30%. Volume grew in all geographic areas with double-digit gains in North America and Asia Pacific. EBITDA was up more than 20%. Now turning to Plastics on Slide 11. Sales were up 30%. Polyethylene reported broad-based gains across all geographic areas. Also of note, Plastics maintained strong margins despite high and volatile feedstock cost due to our disciplined price volume management, our cost advantage feedstock position and our superior products differentiated in various end markets. And finally, sales in Chemicals and Energy rose 23%, and EBITDA grew significantly to $282 million due to strong economic fundamentals for Caustic, particularly in the pulp and paper alumina industries. Now let me give you an update on our progress in enhancing our financial flexibility. As you can see on Slide 12, our debt continues to decline. We have retired $4 billion of debt in the first half of the year, reducing our annual interest expense by more than $250 million going forward. We have also reduced our net debt to total capitalization to 41.6%, well on our way to achieving our 40% target by the end of 2012. I would like to conclude by reemphasizing our priorities for use of cash remain focused on the following key areas: further debt reduction, funding our growth initiatives, remunerating our shareholders and making small strategic bolt-on acquisitions like Prairie Seeds announced this quarter. Now I'd like to turn it back over to Andrew.
Andrew Liveris: Thank you very much, Bill. As I mentioned at the top of this call, this quarter was another tremendous fruit point of our strategy in action. We continue to diligently execute on each of our objectives, maintaining and enhancing the strength of our integrated portfolio, bringing our innovative solutions to the marketplace and expanding our already strong geographic reach. Taken together, these 3 pillars power Dow's diversified portfolio, giving us a broad end market and geographic exposure necessary to offset headwinds in certain sectors. That strength and diversification was, again, on display in the second quarter. For instance, we kept strong growth in Latin America and the emerging geographies more broadly, while North America experienced moderate growth. And on the business side, we took advantage of improving dynamics in the automotive, electronics, water and agriculture sectors while we await a firmer rebound of construction end markets in the developed regions. And as we look ahead, the actions we have taken our aligned to these 3 objectives and provide us with additional ways to deliver growth while mitigating uncertainties. So we turn to Slide 14. Let me start with our vast and well-balanced portfolio where integration provides the starting point for our roadmap to sustainable growth. Consider this fact. Today, some 70% of our ethylene production is located in feedstock cost-advantage regions. This is a truly impressive position that we have purposefully built. As you've heard me say before, we believe that integration must underpin and be the foundation for our transformed portfolio to drive our success, our sustainable growth. Dow's integration strength provides the backbone for our downstream growth in our science-based building blocks where our know-how and process technologies differentiate us. Those building blocks are, in turn, enhanced by our tremendous innovation engine that delivers solutions to a wide variety of technology-intensive sectors, areas such as packaging, agriculture and water to name a few. When combined, it is this asset and technology integration that makes Dow so unique and why our growth path has weathered the volatility we've seen over these last several months. That's why we are not stopping. We are taking actions now that will benefit us for several decades to come. First, by securing cost-advantage, less volatile raw materials. Our investments announced for the U.S. Gulf Coast, coupled with our recently announced joint ventures in Saudi Arabia and Brazil will enhance our already formidable position. These will provide the key building blocks for our downstream portfolio. Not only are we bringing on the capacity for those building blocks that is needed to capture demand growth driven by the trends that are redefining our world, but we are doing so in a way that will drive higher margins and lower volatility in our highly differentiated market-facing businesses. If you turn to Slide 15, these investments provide another benefit as well. They also vastly expand our geographic reach. Today, Dow is already positioned to benefit from the fastest-growing regions in the world. Just consider our results this quarter. We obtained quarterly sales records in Asia Pacific of $2.7 billion. And in the emerging geographies where sales were nearly $5 billion. This was fueled by double-digit demand growth in the fast-growing emerging geographies with strength in Electronic and Specialty Materials, Health and Agricultural Sciences and high-end differentiated Plastics. Clearly, our geographic momentum is strong, and we are building on it. This quarter, one of our joint ventures began commercial operations of a new world scale specialty elastomers plant in Thailand. This joint venture with Siam Cement offers the most technologically advanced elastomers portfolio in the world with brands like INFUSE, ENGAGE and VERSIFY and brings them direct to the fast-growing Asian markets. Looking further out, our investments and partnerships on the U.S. Gulf Coast, Brazil and Saudi Arabia position us to further capture demand in the fastest-growing regions in Asia, in Latin America, the Middle East, in Eastern Europe and all from back integrated, cost-advantage positions. These investments are aimed squarely at growth, both in high-value specialty markets as well as fast-growing regions. If you turn to Slide 16. These same trends guide our innovation investments. We have taken significant action on this front as well, as again this quarter, our investments in the pipeline and commercialization activities continued apace. Just consider our recent progress to accelerate with new investments. Our Agro Sciences business continue to benefit from its enhanced biotech capabilities, resulting from its new research center investments. In fact, our laboratory capacity, supporting our biotech business has increased by 150% over these last 12 months. Right here in Midland, we've commenced construction of our DOW POWERHOUSE solar shingle manufacturing facility. This product remains on track towards launch in the back half of this year, and then this new large-scale facility represents the first increment in a production ramp-up to 220 megawatts of annual solar shingle capacity by 2015. Our Water business opened up a state-of-the-art technology development center in Spain that is designed to accelerate commercialization of Dow technologies. And complementary to that, earlier this week, we announced our plan to locate a world-scale facility for film tech reverse osmosis elements in the ValuePark complex adjacent to our announced joint venture in Saudi Arabia. We also launched new innovations into the marketplace. Here again, it's squarely at the intersection of strategic priorities and the global megatrends that we believe are shaping our mutual futures. We launched the first saturated fat-free Omega-9 sunflower oil, which addresses increasing consumer demand for healthier products. This innovation provides a powerful ingredient advantage for food manufacturers, allowing them to eliminate saturated fat from food without sacrificing taste. Dow Coating Materials launched EVOQUE, a new class of material that allows paint formulators to reduce the amount of titanium dioxide in their formulations by up to 20%, while achieving equal or better paint performance. And the business captured its first sales of the product in the second quarter. And together with Haier, we introduced a new revolutionary washing technology into the Chinese home and personal care sector, which significantly reduces water and detergent consumption. This product is a result of work done at our world-class R&D center in Shanghai and reflects how our teams are using their knowledge of end market preferences to deliver real innovation. Moreover, we are winning new customers and gaining share in fast-growing end markets with our innovative technologies. In Electronics, we had another quarter marked by several customer wins including, but not limited to, wins in CMP pads and display films, all of which are helping that business achieve above market growth. In Agriculture, the continued ramp up of SmartStax hybrids in corn and market penetration of our PhytoGen seeds in cotton contributed to record first half sales and impressive volume growth. And we continue to see great momentum in our growth synergy capture. In fact, we are now 3/4 of the way towards realizing our $2 billion target by the end of 2012. These synergies are winning us business today as we bring to bear our vast technology know-how, customer base and global reach, coupled with regional insights. This is real progress, real focus and real transformation. These are just a handful of the many strong proof points we can share illustrating Dow's strategy in action. We are accomplishing our objectives in both big and small ways through investing in our integrated business portfolio, critical geographic investments and by accelerating delivery of innovative technologies to market. If you turn to Slide 17. Let me bring all these elements together, the 4 partnerships announced over the last several weeks that address our strategic objectives on all fronts while also maintaining our financial flexibility. In each case, these combinations leverage the strength of the 2 partners involved and drive growth, while at the same time, maintaining Dow's financial flexibility. As I walk through these, consider the megatrends addressed, the importance of innovation to each, the targeted geographies and how each fits into our integrated portfolio. First, our joint venture with UBE, which lies at the center of both the energy and consumerism megatrends. This partnership combines our materials science strength and UBE's expertise in electrolyte technology to deliver solutions that address the rapidly expanding energy storage industry. And it positions Dow to become a leading player in advanced battery materials. Furthermore, this joint venture complements the growth strategy of our Dow Energy Materials business by adding formulated electrolytes to an integrated portfolio offering. And when you consider our actions here along with our Dow Kokam venture to produce advanced lithium-ion batteries, you can clearly see how Dow has used partnerships to quickly build a leadership presence in a new industry. Second, our new partnership with Mitsui in Brazil. This project leverages biomass-based feedstocks, thus diversifying our raw material streams away from traditional fossil fuels. It'll bring innovative and sustainable solutions for the global high performance flexible packaging hygiene and medical markets. And more importantly, it is aligned squarely with our goal to growing high-value markets located in fast-growing regions. When complete, this will be the world's largest integrated facility for the production of biopolymers made from renewable sugarcane-derived ethanol. And it will be accomplished through a partnership with Mitsui that matches our 2 companies' focus on finding profitable and environmentally responsible business models. Third is the MOU we signed with Aksa from Turkey to form an integrated carbon fibers and derivatives joint venture. With this agreement, our 2 companies are on a path to create the carbon fiber composites industry only large-scale provider of full-service, fully integrated solutions. And it brings together the individual strengths of each company to provide end markets with better solutions, while also helping solve some of the world's most pressing challenges in areas such as wind energy, transportation and infrastructure. On Slide 18, of course, the fourth is our Saudi joint venture, Sadara, which we announced earlier this week. This partnership focuses on addressing rapid and sustained demand growth across a variety of end markets, particularly those related to the growing middle class in developing regions where consumers are buying more electronics, home and personal care goods and automobiles. The project will drive profitable growth in our downstream innovation driven businesses and particularly when the associated ValuePark is taken into account. This project is also centrally located to ensure our longer-term positions in attractive end markets in the rapidly growing regions of the world, including the Middle East, Asia Pacific and Eastern Europe. And finally, it is an advantage play for Dow with world-scale operations, leading technology and backed by cost-advantage feedstocks. This project is unmistakably value enhancing in terms of the contributions Dow will receive. Importantly, we will accomplish all of this through an equity-like business model. Geographies, innovation, integration. We are advancing our strategic agenda on all fronts through the lens of the megatrends that are redefining our world. We have been actively working on these innovative partnerships over the last several years, and we are working on many more. What you have seen over these last few days and weeks is the new Dow in action, a transformed innovative Dow, one of the world's most premier science companies, innovating in new spaces defined by the megatrends and the markets that result from them. Let me now turn to outlook on Slide 19. The underlying fundamentals of the fast-growing emerging geographies: Latin America, Eastern Europe, Asia Pacific remain robust. There are some potential headwinds in the near term like inflationary pressures in China for example, but our strong presence and diversification in this and other higher-growth economies continues to serve us well. In the developed markets, we see growth continuing to gain traction. This growth may be in a somewhat jagged pace, given persistently high unemployment in the United States and sovereign debt concerns in Europe, both of which will likely continue for some time. Taking all these factors into account, the fact remains that we benefit from our broad geographic reach and leadership positions in many attractive, high-growth end markets, positions that are strengthening and indeed growing both near term and long term. We will deal with headwinds by running our diversified portfolio for growth, both top line and bottom line growth. In closing on Slide 20, I would like to articulate our priorities for the balance of the year. We've been clear and consistent with what we have laid out previously, maintaining our diligent price volume management with an eye on developments in the global economic environment and specific markets, areas of risk and opportunity alike, commercializing our strong innovation pipeline, continuing our diligent focus on research and development driven by customer and market challenges and needs, advancing our geographic positioning to address the regions of fastest growth and opportunity evidenced by our recent decision to move forward with our megaproject in Saudi Arabia, enhancing our financial flexibility, driving down debt levels and driving efficiencies while maintaining our growth investments and remunerating our shareholders and doing all of this while maintaining our hallmark reputation for safe and reliable operations. This is the formula for success and for continued momentum. It is our formula for growth. This, of course, was the theme of our last Investor Day here in Midland. So let me now turn to our next Investor Day to be held on October 4 in New York. On Slide 21, as we have seen in the last 2 years, we will gather our best minds, business, geographic and innovation leaders and share with you our priorities for 2012 and beyond, as well as provide you with the granularity that underpins the next phase of our growth trajectory. It should be -- prove to be an exciting event, and I hope to see you all there. I'd like to now turn the call back over to Doug.
Doug May: Thank you, Andrew. Now we'll move on to your questions. First, however, I'd like to remind you that my comments regarding forward-looking statements and non-GAAP financial measures apply to both our prepared remarks and the following Q&A. Kim, would you please explain the Q&A procedure.
Operator: [Operator Instructions] Our first question today will come from P.J. Juvekar from Citi.
P.J. Juvekar - Citigroup Inc: A couple of questions on the propylene balance. You announced the sale of polypropylene assets. Do you have to sell corresponding propylene to the buyer? And post this, how does your buyers [ph] make balance shift?
Andrew Liveris: So as you just said P.J., this is breaking news. So we are announcing the deal today. There are a lot of details around the announcement that we haven't announced including the strategic buyer's name, which will come very soon. This is yet another step along the lines of putting out precious inputs, propylene in this case, into value-add outputs. You can assume that by doing this deal, we are liberating ourselves to do that. So that leads you to the logical conclusion that we are taking what we make into our value-add high-end uses like acrylics, epichlorohydrin and propylene oxide, and we're lowering our buy. And then, of course, with the announcements we made 2 months ago with PDH, the first unit and then already the second unit, you can assume that this now adds to the closure that by the time we're done with the second PDH unit, we'll be 100% captive.
P.J. Juvekar - Citigroup Inc: Great. And can you also comment on the profitability of Ethylene Glycol and MEGlobal because if I look at your equity earnings, they were up the most in chemicals segment.
Andrew Liveris: Right. So of course, there's a couple of things going on in not just EO/EG. I mean, there was an outage that we benefited from and there's steady demand going on in the polyester market out in Asia, which is consistent, of course, with the fact that the emerging world is showing a different economic dynamic than the developed world. So between the polyester demand and as well as an outage, MEGlobal did well as did -- that means we did well in terms of our share of that. But chemicals in general did well, and that's because Caustic is doing very, very well because of continued solid demand in aluminum, pulp and paper. There's some softening going on in Europe, but we expect pricing to stay pretty strong in Caustic through Q3. VCM, PVC is also improving, which also, of course, helps us. And that's occurring in, actually, North America, which is great, which as you know some good early signals that domestic demand is supporting higher prices, which is also helping our chemicals unit. These days, our chemicals unit is very much a feedstock unit. All the profits you're seeing that is reported is all the merchant business, including the equity earnings that you just asked about. Most of our advantage goes downstream to our performance businesses, which is why we're inquiring in the first place.
Operator: Moving on, our next question comes from Jeff Zekauskas from JPMorgan.
Jeffrey Zekauskas - JP Morgan Chase & Co: In the quarter, your prices were up about 19% year-over-year, so that's about $2.4 billion, and your raw materials were up $1.5 billion. So that nets out to something like a $900 million improvement in profits above raw materials. But your gross margin was only up about 450. So did you have operational issues? Why wasn't your gross profit improvement greater?
William Weideman: Yes, Jeff, this is Bill Weideman. Let me explain that. When you look at the price increases versus the $1.5 billion you referred to on hydrocarbon, keep in mind that's just hydrocarbon cost. So there's other raw material increase that you have to account for there. Also, from a standpoint of our turnaround costs, we're at actually $100 million, our planned turnaround cost because we normally do more turnarounds in the second quarter. We're up $100 million versus prior quarter and roughly $50 million versus a year ago. And also, I think as you get more time to digest the result, I think it's also important to look at the product mix because of the seasonality in some of our businesses. So naturally, ag was down lower. So I think if you look at all of those, I think it will make sense as you get a chance to analyze it.
Jeffrey Zekauskas - JP Morgan Chase & Co: Okay. And then lastly, what was the cash flow from operations in the quarter?
William Weideman: Hang on. Let me get that. I think the cash flow from operations was roughly $800 million in the second quarter.
Operator: We'll take our next question from Andrew Cash from UBS.
Andrew Cash - UBS Investment Bank: Just wondered if the ag business strong growth 13% first quarter, second quarter. EBITDA margins, attractive but flat at 22% despite the fact that your licensing business seems to be doing very, very well, as well as your cottonseeds business, which I assume is a fairly high-margin business. Was there something going on there in the second quarter such as incentives rebates? Or are you really goosing the R&D budget to have flat margins year-over-year?
Andrew Liveris: Yes, I wouldn't use the word goosing. I guess that's an American word, Andy but anyway...
Andrew Cash - UBS Investment Bank: That means boosting. Same thing as boosting.
Andrew Liveris: There you go. So look, yes, the R&D budget. I mean, as you know, we are now ramping to Enlist and 2,4-D, which is going to be the signature launch for the next season. We, obviously, have SmartStax going on. So you can really look at most of it as being R&D that's keeping that margin flat. So we have said $500 million of NPV from SmartStax. We've said $1 billion of NPV from Enlist and obviously, our new DHT trade fair. The POWERCORE in Brazil is also a part of that launch at Southern hemisphere. And so you've got a lot of what I call front-end loading on R&D and commercial gearing up for those 2 big launches.
Andrew Cash - UBS Investment Bank: Okay. Just as a follow-on, if I look at the second half of the year, obviously, seasonally weaker, but would you expect the second half of this year to still show kind of in the aggregate about 12% year-over-year growth in EBITDA?
Andrew Liveris: Are you talking about ag?
Andrew Cash - UBS Investment Bank: Yes, in ag, sure.
Andrew Liveris: Yes, sure. No, there's no question that, again, obviously, it's seasonal, right. So you've made that qualify already. But yes, look, our Southern hemisphere position is doing very, very well. I mean, we've been gaining share, SmartStax, POWERCORE I just mentioned. So yes, you can expect that.
William Weideman: All year you can expect that double-digit increase to double.
Andrew Cash - UBS Investment Bank: Okay. If I could just squeeze in one more. Andrew, it's been -- just quickly. Andrew, I can't miss this opportunity. It's been a year almost since Investor's Day, and you gave us a range of 350 to 550. Did you want to use this strong second quarter, strong second half as an opportunity to help narrow that range for us?
Andrew Liveris: Yes, so look, October 4 is Investor Day. You can come to that and do your math with us. But we gave you a very big statement about how our $10 billion EBITDA number is now within sight. And so look, we'll talk a lot more about that in Investor Day. But we don't give guidance, but we, certainly, give you milestones. And we'll give you guide post, and you got a pretty strong one from us.
Operator: We'll go next to Kevin McCarthy with Bank of America Merrill Lynch.
Kevin McCarthy: Andrew, I was wondering if you could comment on what you're seeing in China. In your prepared remarks, you noted some inflationary pressures. The heat map still looks fairly positive outside of maybe construction and transportation. And then, I guess more narrowly, I'd be interested in your thoughts on polyethylene resin there. Has enough inventory been worked off at this point to kind of reinvigorate that market with, hopefully, some positive global implications in the back half of the year?
Andrew Liveris: Yes. So on China, firstly, Kevin, I mean, I think it's important to understand exactly what the inflationary pressures are in China. And just like when we measure inflation over here, it's all about the basket. And remember, a lot of their agricultural commodity price increases are all perishable goods versus packaged goods for example, and that's a big difference in terms of what you're counting in the basket and what you don't count. In addition, gasoline, petroleum that's been another big one of their worries and then speculation in around the construction sector. So what the Chinese are doing, they're doing it very well. I mean, they basically are moving away from the paying their population fuels in increasing perishable good pricing, as well as petroleum, gasoline pricing. And then, of course, the ramp up in speculation in the housing sector. But their basic economy, their industrial economy, their manufacturing economy is still doing very well. And they have to do very well because of their employment topic, which, of course, overrides all their concerns. They're managing themselves down very nicely. The official numbers are 8% or 9% GDP. And when you put a multiplier on for Chemicals and Plastics, that's a 12% or 13% growth rate in the world of chemicals and plastics, which then speaks to your polyethylene question, we're not seeing any issue there with polyethylene in terms of demand, especially our polyethylene, which is very much into applications such as agriculture for example and films and packaging in general, industrial packaging and the health and hygiene medical markets. We are seeing the demand growth, good volume growth and decent price power. And so we think the Chinese inflationary aberration then, we have the tools and the weapons to overcome it as Dow, given our product portfolio being 85% of our revenues in China are from our performance businesses anyway. So any effect of cyclicality commodity cycles, we're very immune to. So frankly, with our asset in Thailand now with elastomers selling more and more, we've sold out into China. Already, our PO asset's about to come up in Thailand to feed China. Really, frankly, we don't see any of these aberrations affecting our numbers in the back half of the year, which is what that heat map talked about.
Kevin McCarthy: Andrew, just as a quick follow-up, you've had your hands full, obviously, with Sadara and other large projects, but would you provide a quick update on the coal-based chemicals partnership with Shenhua?
Andrew Liveris: I'm glad you qualified and say, we've had our hands full. To get a project of $20 billion off the ground, Sadara has been a game changer to feed the Asian growth market in demand as we've already articulated on Monday's call. Obviously, look, we are tranching our investments, so they make sense to our balance sheet and make sense to our P&L and make sense to our investors. And we're doing it in an equity-like model. So Sadara is, if you like, the first large megaproject that serves Asian demand and subcontinent demand and Middle East demand. And then an end market, China players always been on our sights, but we've always believed that, that needed to have feedstock advantage as well. So China, Coal-to-Olefins and MTO and obviously, the ability to do that enough China coal is there. It will have a slightly different product mix to Sadara, and it'll definitely have different timing. We anticipate it to be at the back half of this year -- or decade, excuse me. Not this year, back half of this decade in terms of startup. So we've always said that, given, we've always said that we will really tailor these investments to suit our ability, obviously, to take them on and secondarily, what the market needs. So making good progress. Sadara first started up in 2015. Then, back half of the decade, we'll have the Coal-to-Olefins play.
Operator: Our next question today will come from David Begleiter from Deutsche Bank.
David Begleiter - Deutsche Bank AG: Andrew, in your seed business, did you gain share in U.S. corn seed this year and if so, how much?
Andrew Liveris: Okay. Numbers aren't in yet. So I can't be explicit on a number. So it's too early to predict. We're still looking at all the plant and acres out there, and the USDA's doing that, of course. And we had a very strong season in Latin America, so we definitely believe we've had share gain down there. We also believe we had share gain in cotton in the U.S. So the big question is on corn. Anecdotally, it certainly feels like that from our results, but I can't give you a specific yet.
David Begleiter - Deutsche Bank AG: And just lastly, on your U.S. Gulf Coast exports this quarter, were they a little bit less than Q1? Did you see the export window close, given some of the higher propylene and ethane prices?
Andrew Liveris: Look, propylene a little bit. The arbitrage between Asia and U.S. propylene wasn't exactly favorable. And remember now, we've had several quarters in a row where that's moved around quite a lot depending on the cracking slate here in the U.S. So as the cracking slate in the U.S. here moves back toward a little heavier than you get excess propylene here, propylene drops. It closes the gap to Asia. But at the other side of the coin, the Asian naphtha crackers have been in trouble. Their cash margins are very slim. And so obviously, propylene derivatives don't get produced. So that will move around quarter-to-quarter. We don't have any major effect on our export numbers between the quarters. We didn't see anything significant to answer that specifically.
Operator: [Operator Instructions] And we'll take our next question from Bob Koort from Goldman Sachs.
Robert Koort - Goldman Sachs Group Inc.: Andrew, I think you said and maybe Jeff's earlier question sort of itemize the price cost dynamic across the company. Can you talk a little bit more specifically in the Performance and Coatings business? Have you guys got ahead of the curve there? Or is there still some wood to chop to cover raw materials? And then if we could be bold enough to deposit maybe a flattening of raw materials through the second half, is there a reason to believe we should see some margin elevation in those businesses?
Andrew Liveris: Well, our Coatings and Infrastructure business, as you know, has 2 very big anchors in there. One is the coatings unit, and the other is the Dow Building Solutions. And so both of them are affected by, obviously, the poor construction and architectural end markets specifically here in North America but also in Western Europe, but we have a bigger footprint here. So in our numbers, we still see volume as being fairly flat there. But we did raise price based on raws going up, raw materials going up. We raised revenues up 14%. And that was mostly price in the coatings arena. Obviously, the go-forward part of this thing is very important. Our feedstocks will be down quarter-to-quarter. So we expect that we might get some margin expansion there. So it's not a bold statement. But remember, now it becomes the off-season, right. So a lot of the demand side is behind us in terms of the paint season especially architectural. But we have some good things going on there beyond just the architectural side. If you talk at Dow Coatings, I mentioned EVOQUE and the launch of EVOQUE then, titanium dioxide hiding technology. And we also have the industrial coating side, and epoxy resins in industrial coatings are very strong and very robust. And we do see good demand in the industrial side. But overall, we're quite happy with the recovery in the Coatings business especially year-on-year. And if you go to Building Solutions for a bit, it's still a profitable business in a down market. Overall, by the way, let me take the opportunity to mention that as a company now, we are above prerecession volumes. So as an overall mix, even though the Coatings and the Building Solutions are trailers in that statement, the overall company is now above where it was prerecession including, of course, the Rohm and Haas acquisition and our pro forma basis.
William Weideman: May I add in? And Bob, just to add -- Bill Weideman -- on that also. I mean, our belief is that our 100 gram [ph] cost will be down, as Andrew alluded , about $100 million to $150 million third versus second, which is primarily driven by the lower declining propylene cost, which should bode well for our performance.
Robert Koort - Goldman Sachs Group Inc.: And if I could follow up. You guys, obviously, track closely what's going in ethane prices. I'm guessing most people wouldn't have guessed $0.85 ethylene here as we get into the heart of the summer. What's your expectation going forward? Is there some point where it stays so high for so long, you revisit your plans to add capacity in North America?
Andrew Liveris: Look, I think when we announced the Gulf Coast investments, specifically as it is related to NGLs, specifically ethane and propane from the shale gas streams, the amount of capacity coming on and the amount of NGLs that have to be produced, the producers need the NGLs to make their investments payback. And when you do the dynamics around supply and demand, there's surplus propane and surplus ethane for quite a few years to come. But you can assume that we will be doing everything to partake in the NGL value add rather than take the risk as you just indicated that'll it trend to market price on naphtha or anything like that. So the gas-to-liquids arbitrage to naphtha, which is not the gas-to-oil arbitrage. It's gas-to-liquids to naphtha is totally based on excess supply of NGLs. So the answer to your question is we will be locking that into our economics because we'll be able to do it contractually and/or through equity.
Operator: And our next question today will come from Hassan Ahmed from Alembic Global.
Hassan Ahmed - Alembic Global Advisors: Question -- apologies, I joined the call a little bit late. So if you've answered this, apologies for that. But question around the Plastics segment. You had a couple of sort of planned and unplanned shutdowns in that segment for the quarter. And you, also, in the press release talked about polypropylene sales in Asia Pac being a bit light. Now if those outages had not occurred in the quarter and polypropylene sales in Asia were similar to sort of the strength you saw in North America, would we have seen a sequential uptick in EBITDA? And if you could also give some sort of a sense of magnitude of that uptick.
Andrew Liveris: Well, so when Bill says outages, these were planned turnarounds to be very clear. And they're lumpy because you don't have them every quarter, so you guys -- it would be impossible for you to predict them unless we actually told you ahead of time. So the turnaround costs in Q2 '11 are $290 million. They're up $90 million sequentially and up $40 million from same quarter last year, and these are all because of the timing based on weather. Look, so that's got nothing to do with reliability. And in terms of the real issue on margin, you look at margin percentages and the propylene point I made earlier was really not a big factor to answer that specific question, Hassan. I think what you've got to really look at is it's really mostly the turnaround, planned turnarounds and mostly mix.
William Weideman: Well, Andrew, I agree.
Operator: And next, we'll go to Peter Butler from Glen Hill Investments.
Peter Butler - Glen Hill Investments: Andrew, can I apologize for giving you a softball question here?
Andrew Liveris: You can.
Peter Butler - Glen Hill Investments: Okay. I was talking to an investor yesterday who asked the simple question, why should the Saudi Aramco folks need a partner and why would they choose Dow? And when my answer proved inadequate, I encouraged him to listen to the conference call today. So that's the softball question for you.
Andrew Liveris: I mean, Saudi Aramco, I think your investor is quite right. Saudi Aramco is a wonderful company, and it has a myriad of choices to who to do business with. And of course, they represent the kingdom's massive oil and gas reserves. This process started 4, 5 years ago. What the kingdom and obviously, Saudi Aramco decided is that they needed to partner with somebody who had the technologies and the products that are not in the kingdom today that could bring integration from a technology and process point of view and then global reach in terms of the markets that, that company would serve, such that they could diversify in the kingdom away from the commodity product mix that they had built over the previous 20, 25 years. When I say they, not Saudi Aramco, but other companies in the kingdom. So literally, Saudi Aramco is executing the Kingdom of Saudi Arabia's strategy to diversify their local economy into higher value add downstreams and took their portfolio of businesses into more know-how intensive, more technology intensive. And therefore, deploy their talent, their people, give them jobs in manufacturing sectors in downstream businesses that we at Dow could provide the enabling technologies for. They have an energy policy. They want to use that energy to diversify their manufacturing sectors for economic development, and for example, this water film tech investment that we've just announced is an example of a project that will now go alongside the joint venture. If you like, the joint venture is rainmaking further investments downstream in the value park. So why Dow? We give them the opportunity for the technology, the products, the scale, the global reach. We're an excellent operator of integrated assets and literally, we select ourselves in as probably the only company that has the brand, the history and the ability to do this. And we have common values and ethics to the Saudi Aramco Company. And of course, last but not least, both of us know how to handle big projects.
Doug May: You have one follow-up?
Peter Butler - Glen Hill Investments: Yes, I was looking at your polypropylene sale, and I'm thinking that with value-added chemical assets selling high right now, helped by some takeovers that are causing heroic prices, wouldn't it be better to remain a seller of assets and find some more hidden assets that you could use to bring down debt? Because I think the strong balance sheets are going to become an even more important investment theme in the future.
Andrew Liveris: Yes, look, you're dead on. And so you can expect us to be a continual liberator from our balance sheet of debt, as Bill said in his remarks. We will do that by being an aggressive portfolio manager. We will do that by selling assets that are attractive to others that don't really have a part in our ongoing transformation. We have a very attractive multiple here at 6.7 EBITDA. It fundamentally is higher than any of the comparables out there in a commodity-like business. So you can expect us to continue to do exactly what you said. We will continue to pay down debt. We will continue to liberate cash to allow us to remunerate our shareholders and keep funding our innovation. And our Saudi project's a great example of bang for the buck, getting access to advantage feedstocks. We can globally market the products, and we can do it in an equity-like model with hardly any new cash from Dow in the next several years, $500 million, $600 million and none of it till after 2014. So whether it's selling a business at effective multiples or doing equity-like business models, business models like Sadara, you can count on us being a strong, aggressive balance sheet manager to aggressively release and have more flexibility on the balance sheet. That's been our single focus. And with $35 billion of cash coming from operations in the next several years, you can count on us to be a liberator and lower debt.
Operator: And that question will come from John McNulty from Credit Suisse.
John McNulty - Crédit Suisse AG: Just one quick question on your 2011 priorities on the maximizing margin through price and volume management. I guess I'm wondering at this point, are you seeing any points throughout your businesses where you're seeing a decent amount of demand disruption because of some of the significant price increases that you've put through. And how should we think about that going forward?
Andrew Liveris: John, thanks for your question and allows me to help Doug on the closing here. No, absolutely none. So look, this world has got a great emerging middle class. The tectonic shifts that are going on in the emerging world I said on TNBC [ph] this morning. I'm spending half, more than half of my month with customers around the world, and the demand factors that are going on there -- out there, lifting the GDP per capita consumption rates of all of our products is demand creation. And frankly, in limited supply, that augurs well for many of the products in our mix. With running our company in the mid-80s, with no new big capacities coming on in the industry in the next several years, frankly, price increase environment, price momentum is something Dow knows how to do, and we will continue to do it.
Doug May: Well, thank you, everyone, for your questions and for joining us this morning. We appreciate very much the interest in Dow Chemical Company. For your reference, a copy of our prepared comments will be posted on Dow's website later today. But before I end the call, actually, Andrew, I'd like to hand it back to you and maybe you'd like to make some closing comments.
Andrew Liveris: Yes, look, the last couple of questions in particular spoke to a Dow that is really growing its earnings and growing its earnings profile as we articulated in '09. So in Investor Day in '09, we talked about our new portfolio and we presented several financial targets, which we committed to you that we would give you granularity on. We also started opening up our innovation playbook to you to show you the power of our technology-integrated portfolio. In 2010, we updated you on our progress and our milestones and showed you proof points that we're on a right trajectory. We also showed our divisional leaders and gave you a view of our bench to give you the granularity and how they're being measured on delivering the EBITDA margin expansion and the resulting EPS by business portfolio. So we are now in the middle of 2011. We believe the quarter and the half year that we just had shows you that what we talked about in '09 is becoming a reality. We believe we are on our path toward the $10 billion EBITDA near-term target and that we're reaping the benefits of a very diversified portfolio. So in the October 4 Investor Day, we're going to give you a very clear view of our near-term trajectory. We're going to show you our divisional leaders again to give you more granularity on their milestones especially around innovation but also on our investments in the U.S. Gulf Coast and the shale gas value add and how that's going to hit our bottom line in our various businesses. We're also going to talk a lot more about our Sadara joint venture for 2015 startup and how that's going to feed the trajectory we're on. And what is that trajectory? We're going to talk about the trajectory that's going to take us from a $10 billion number to a $15 billion number. And we're going to give you the granularity on the programs that underpin that number. There is no turning back. We're a transformed company that is on its path. We're diversified. We are uniquely globally positioned. We can take down any headwinds with a lot of tailwinds that we've put in place due to our own actions. That's what you can expect from us. Sustainable earnings growth, balance sheet management, full priorities on achieving the $15 billion EBITDA target. We look forward to seeing you in New York on October 4.
Doug May: Great. Thank you, Andrew. That concludes our call for today. We look forward to speaking with you again soon. Thank you.
Operator: And that does conclude our conference call today. Thank you all for your participation.